Operator: Good day, ladies and gentlemen, and welcome to the TechTarget Third Quarter 2012 Conference Call and Webcast. My name is Amy, and I will be your coordinator for today. [Operator Instructions] Following introductory remarks by Greg Strakosch, TechTarget's CEO, Chairman and Co-Founder, we will be facilitating a question-and-answer session for today's conference call. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. 
 I will now turn the call over to Rick Olin, Vice President and General Counsel. 
Rick Olin: Thank you, operator. 
 Before turning the call over to Greg, I want to briefly remind everyone on the call of our earnings release process. As you saw, we issued our press release at 4 today. And as previously announced, in order to provide the usual update on the business ahead of this call and, hopefully, save you all some time and effort, we have posted on the Investor Information section of our website, and furnished with our 8-K filing, a letter to shareholders from Greg. This letter is intended to provide supplemental information about the quarter ended September 30, 2012. 
 On the call today, Greg will provide a brief summary of our financial results for the most recently completed quarter and certain other corporate matters, and then management will devote the rest of the call to answering your questions. 
 Additionally, I'd like to remind everyone that during the course of this conference call and the Q&A session, TechTarget will make certain statements that may be considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including, particularly, guidance as to future financial results. Investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve risks and uncertainties, and that actual results may differ materially from those contemplated by such forward-looking statements. These risks include: market acceptance of our products and services; relationships with customers, strategic partners and our employees; difficulties in integrating acquired businesses; and changes in economic or regulatory conditions or other trends affecting the Internet, Internet advertising and information technology industries. 
 For a description of these and other risks, the company encourages you to read the section entitled Risk Factors in our annual report filed on Form 10-K, as well as other filings we have made with the Securities and Exchange Commission. 
 In addition, the forward-looking statements speak only as of the date of this call, and the company undertakes no obligation to update these forward-looking statements. 
 Following Greg's introductory remarks, in addition to Greg, the following members of our management will be available to answer your questions: Mike Cotoia, Chief Operating Officer; and Janice Kelliher, Chief Financial Officer and Treasurer. 
 I'll now turn the call over to Greg. 
Greg Strakosch: Thank you, Rick. Despite continued weakness in the IT market, our premium strategic offerings are holding up well. Customers appreciate the innovation we are bringing to the market in regard to our Activity Intelligence product platform and our international offerings. We are optimistic that the investments we are making will turn us to growth in 2013. In the meantime, we are carefully monitoring our expenses as evidenced by the healthy EBITDA margins and cash flow that we reported. 
 We continue to see softness in the IT market. Using the 6 largest global IT vendors as a barometer for the IT market, their aggregate revenue had declined year-over-year for 3 quarters in a row. As a result of this challenging revenue environment, we are seeing some IT vendors react by cutting marketing budgets, laying off marketing and staff and reorganizing their marketing departments. 
 In regard to our Q4 guidance, we expect overall revenues for Q4 to be between $24.5 million and $25.7 million. We expect online revenues to be between $22 million and $23 million. We expect event revenues to be between $2.5 million and $2.7 million, and we expect adjusted EBITDA to be between $4.7 million and $5.4 million. 
 I will now open the call up to your questions. 
Operator: [Operator Instructions] Our first question comes from Sean Kim at RBC Capital Markets. 
Sean Kim: Just a couple of questions. On some of the new products in the pipeline, can you give us a little more color on what they are? And what sort of -- it seems like the first product is going to be launched in the first quarter of next year. Can you give us a sense of what sort of impact you expect from that? And my second question is on the pace of buybacks. It seems like you bought about 36,000 shares in August and September. Is that sort of the run rate that we should expect going forward? 
Greg Strakosch: Sure. So on the impact of the new product, I think it's too early for us to say. We're currently in testing of that product, and it'll be rolling out in Q1. But we're very optimistic about it. We're talking to customers about it, we're getting good feedback. And with the basic product suite that we're looking at is, as the leading place on the web where IT professionals go to research which products they'll buy, we have millions and millions and millions of data points about research activity in the IT marketplace, and we house all of that in a data warehouse. And the new products will be subscription products to take advantage of this -- all this information that we have, and we'll be data mining that information to provide actionable information to our customers. So that's kind of the general gist of what you'll see us do, and we have a whole suite of products in development.  As I said, the first one will be released early next year. In terms of the pace of the buyback, I'll make 2 comments. One is that we are limited -- we have volume limitations in terms of Safe Harbor provisions. And the trading volume has been very -- been fairly limited, so that has -- that's a main gauge of how many shares we can buy. So I said that's the first thing. Then the second thing I'll just say, this was our first quarter doing it since we had the buyback, and we took that as a learning -- as a way to learn to kind of get the rhythm of the buybacks. So I would say the main thing that impacts the amount of shares that we buy is the volume limitations. 
Sean Kim: I'm sorry, just one follow-up on that. Would you consider dividends given the liquidity of your shares? 
Greg Strakosch: We -- our board considers anything that's best for shareholders. So we have -- as you know, we have very heavy insider ownership represented on our board, and so our board is very aligned with shareholders. And on a regular basis, we consider all of our options, and we will continue to do what we think is best for shareholders. 
Operator: Our next question comes from James Dobson at Benchmark. 
James Dobson: Getting back to sort of subscription product, can you talk about what the target customer is? And will this sort of extend your sort of customer base potentially once it's launched? 
Greg Strakosch: Yes. So our -- we'll basically be selling these sales intelligence products into the marketing departments and the sales departments of IT vendors. So it's a product that's very applicable to all of our existing customers, and it's also a product that's applicable to a wider range of prospects. So basically, any company that is selling hardware and software into the global markets is a good prospect for these new services that we have in development. 
James Dobson: Okay. And then getting to Artificial Intelligence, it looks like Nurture & Notify is gaining traction. There was talk when the Artificial Intelligence -- I'm sorry, Activity Intelligence was launched that there would be several products to follow on. Can we expect another follow-on product in 2013, potentially? 
Greg Strakosch: Yes. So these -- the subscription products that I'm talking about are part of the Activity Intelligence Platform. So we first started with Activity Intelligence, the first product we introduced was the dashboard that we included into all existing lead generation programs at no additional costs because we want to get companies using it and get that into their workflow. We had a lot of success with that approach. And then the second product was Nurture & Notify, which was roughly a 15% to 20% upcharge under lead generation programs and we've had good success with that. And then what we were talking about is the next product would be products that fully monetized the Activity Intelligence Platform, and so this first subscription product that we'll be announcing does that where it's 100% monetized. And next year, you'll see us introduce multiple enhancements to existing products and multiple new products that will generate new incremental revenue. 
James Dobson: Great. And then touching on sort of international growth. It's very strong, but is there a way to sort of let us know what sort of the organic growth rate is internationally? Obviously, you brought on some new operations, both in Europe and APAC. And sort of on an apples-to-apples basis, how would the growth be doing over there? 
Greg Strakosch: Yes. So the -- or -- well, all of the growth is organic in terms of none of it is acquisition-based this year. And in terms of the type of growth -- to get the type of growth that we're seeing, we're getting very healthy growth in all of our direct operations. So we're seeing good growth in the existing offices. I think that's indeed your question.  We're seeing very good growth in our -- out of our U.K. office and the other existing offices. And then, obviously, we've launched new operations this year in Singapore and Australia. And I would say that those operations are obviously growing very nicely, but they're still relatively small. So most of the growth is coming from the existing operations that have been around for a couple of years. 
James Dobson: Okay, great. And my final question is regarding sort of the return to growth in 2013. Should we expect that sort of in the first part of the year also or is this maybe a little bit more back-half-weighted? 
Janice Kelliher: Yes, so we are -- I think it's a little early for us to comment on that right now. We're in the midst of our 2013 budget process. Obviously, we will -- we're continuing to have good results with Activity Intelligence, so we continue to believe that will continue to make a progress. We actually have the new products that we're announcing. I think it's safe to assume since those are being introduced early in the year that those will have more effect on the second half of the year. But we continue to see very, very strong growth outside the U.S., so I expect that to continue in the first half of the year as well. So it's a mix of first half and second half. 
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to management for any closing remarks. 
Greg Strakosch: Thank you very much for attending the conference. And we'll talk to you next quarter. 
Operator: The conference is now concluded. Thank you for attending today's event. You may now disconnect.